Mar Martinez: Good morning to all the people connected. Welcome to the first half 2025 results presentation, which will be hosted as always by Endesa CEO, Jose Bogas; and the CFO, Marco Palermo. Following the presentation, we will have the usual Q&A session open to those connected on the call and on the web. Thank you. And now let me hand over to Jose Bogas.
Jose Damian Bogas Galvez: Thank you, Mar, and good morning, everybody. I would like to open this presentation by highlighting the solid performance delivered across all our businesses during the first half of 2025. This has led to a strong cash generation and operating results, confirming the strength and resilience of our business model. The energy framework during this period was marked by the April 28 blackout and the implementation of the subsequent measures, mainly aimed at reinforcing security of supply as well as we will elaborate on later during the presentation. Today, more than ever, Spain needs to bring its network investment up to the level required to ensure a modern, efficient and reliable distribution network as set out in the PNIEC and also endorsed by the European Union, who recently upgraded 2040 climate targets. To this end, it is essential to define our remuneration framework that is fair and sufficient to address the huge increase in investment foreseen at country level. The proposal currently under discussion endangers this investment and clearly goes against government policies to achieve the energy transition. Finally, I would like to highlight that as of end June, we executed approximately 40% of our EUR 500 million share buyback program planned for the year, and close to 70% according to the last CMD filing. These reflect our commitment to delivering value to our shareholders while preserving flexibility in order to increase our investment in the regulation if the regulation is finally favorable. Let's now turn to the key financial and operational highlights of the period. On Slide #4, we continue to make solid progress on the strategic pillars outlined at our last Capital Market Day. Our determined and disciplined approach is driving solid and predictable results across all business lines. Profitability remains strong with EBITDA increasing by 12% year-on-year to EUR 2.7 billion and net income rising by 30% to EUR 1 billion. Importantly, this positive outcome resulted in outstanding cash generation FFO grew significantly, doubling the cash generated compared to the same period last year and confirming the quality of our earnings and our capacity to sell finance investment and shareholders' remuneration. On Slide #5, a brief details of the progress made on our main operational KPIs and on the execution of our capital allocation strategy. More than EUR 900 million had been invested to strengthen the company's core businesses with particular focus on energy transition. A key pillar of this strategy is the reinforcement of our non-emitting generation base. During the period, we added 0.7 gigawatts of new renewable capacity bringing our total to nearly 11 gigawatts. As a result, 79% of our mainland generation mix is now emission- free, further consolidating our decarbonization goals. Regarding customers, we continue to improve the quality of our client base by focusing on the most valuable segments, enhancing the resilience of our supply margin. And finally, our commitment to high standards of service quality and network reliability is reflected in the improvement of the time of interruption index. Furthermore, total losses remained flat at around 10%, still heavily impacted by non-manageable losses associated with localized fraudulent hotspot. Now let's look at the market context on Slide #6. The first half of 2025 was marked by significant volatility in energy market, driven in part by external commodity trends and also by the operational consequences of the post-blackout system management. Commodity prices remain at higher levels year-on-year. TTF gas spot price rose by 47% to EUR 41 per megawatt hour on average, while CO2 significantly closed the gap compared with the last year during the second quarter, but still remain 11% higher on average. As a result, the Iberian power pool price surged by 58%, rising from EUR 39 per megawatt-hour to EUR 62 per megawatt-hour. Furthermore, May 2025 stands out as a period of particular stress, where the TSO post-blackout extremely cautious management led to a spike in ancillary services costs reaching levels of EUR 26 per megawatt hour. While we understand that the security of supply must take priority, we cannot predict how long this conservative approach will remain in effect. Based on our forecast, we estimate that ancillary services will average around EUR 16 per megawatt-hour for the whole year on top of an estimated pool price of something around EUR 70 per megawatt-hour. On Slide #7, and in connection with the blackout, let me underscore the following. While no final report has yet been issued to clearly establish the causes, our analysis revealed that the blackout was the result of operational planning that did not provide sufficient backup capacity for voltage control, followed by operational decisions that further weakened the Iberian system. It is important to recall that the responsibility for maintaining system stability, including both its control lies with the transmission system operator, the TSO. From our side, we can confirm that we fully complied with all instructions issued by the TSO. All our generation facilities connected at the time of the incident were operating in accordance with the requirements established by the TSO in the technical restriction dispatch. Furthermore, all planned disconnection occurred above the established technical safety threshold, in line with the regulatory protocol. However, we should learn a constructive lesson and not let this event undermine the country's broader decarbonization goals. Spain has made substantial progress in its transition to a low-carbon economy achieving one of the highest levels of renewable energy penetration in Europe. While the blackout highlights several vulnerabilities in system stability, it also reaffirmed the importance of accelerating investment to reinform this resilience and foster demand electrification. On Slide #8, we focus on demand evolution, which has performed very well so far this year, showing a clear upward trend that seems to confirm a turning point and a return to pre-energy crisis baselines. Mainland electricity demand showed a steady recovery, leading to a 2.7% growth year-on-year or a 2.2% adjusted while Endesa's figure climbed to 4.7% and 2.9%, respectively. When looking at the different segment figures, we can conclude that first residential consumption grew significantly with a year-on-year temperature increase, particularly in June, having a meaningful impact. Second, industrial service demand, recovery is not isolated, but part of the wider trend of increased energy consumption across the sector. This is consistent with the substantial increase in connection requests received over the past few years, which seem to be starting to result into actual demand. In this regard, it is worth highlighting the growth of the service sector, particularly in the Aragon area, which has seen a 15% increase in demand, mainly in the second quarter associated with the incorporation of data center activity. In fact, as we can see on Slide #9, the exponential growth in access and connection requests since from 2021 to date underscores the scale of new demand seeking to integrate into the grid, particularly from large-scale consumer and electrification-driven sectors. This surge reflects the country's increasing attractiveness for industrial and commercial investment, driven by strategic location and competitive energy costs achieved through decarbonization-energy mix. However, despite this opportunity, our ability to connect new demand has been significantly constrained by existing network limitation. As a result, around 80% of Endesa's medium and high-voltage connection requests received in 2024 had to be rejected. While year-to-date, only 10% have been granted. And this is primarily due to just 12% of our total network capacity is currently available. In fact, the number of access and connection requests received by Endesa in 2024 alone is already equal to the total medium and high voltage contracted power in Spain as of year-end. Such strategies underline the urgent need for grid reinforcements and regulatory support to unlock the full potential of the transformation being at risk of missing a unique opportunity for reindustrialization and economic growth. Now, in Slide #10, demand electrification is essential. And to do so, we must have a third and attractive regulatory framework that facilitates the massive investment required for decarbonization. As you all -- as you are all aware, at the beginning of July 2025, the CNMC launched the public consultation process to establish negotiation for the next regulatory period. Going into details, the proposal considers a new methodology that we think introduced a structural limitation that could hinder the sector capacity to deliver on electrification and grid modernization objectives. In particular, the investment framework shows bias against capital expenditure, which limit the investment needed to support network upgrade. Efficiencies are subject to an excessive capture rate, while benchmark are based on outdated data, which are still pending final settlement. Although the new incentive model represents an evolution over the previous one, there is still room for improvement. Regarding rate of return, the risk premium methodology employed to set the 6.46% proposal is both discriminatory and asymmetric when compared to other regulated sector in Spain and most European countries. Likewise, the better, efficient and cost of debt considered are both an unrealistic low -- unrealistically low. While both circulars fell short in expectation, we believe the most critical aspect is that those proposals greatly endangers the level of investment required to meet Spain decarbonization target. Demand electrification and grid investment, as outlined in the PNIEC, and certainly, misaligned with the government's energy policy guidelines. Nevertheless, we are confident that the final version after the consultation process will provide the necessary economic signals to address the challenges of the energy policy in Spain. Let me now hand over to Marco for the financial results.
Marco Palermo: Thank you, Pepe, and good morning, everybody. Turning to the analysis of the economic performance, I'm now on Slide 12, EBITDA reached around EUR 2.7 billion, showing a 12% increase versus previous year. This strong performance was driven by several key factors. First, the elimination of the 1.2% extraordinary levy, which had a negative impact of around EUR 200 million in the same period of last year. Second, the 6% increase in generation and supply EBITDA, the main drivers of which will be detailed later on. And finally, the distribution business, which remained stable and aligned with our full-year guidance. Moving now to Slide 13 for a more detailed analysis of the Generation and Supply businesses. The EBITDA improvement was driven by the positive evolution of gross margin, which grew 6%, and the stability of fixed costs. The main moving parts of the margin performance were as follows: conventional generation margin grew by 10%, triggered by a strong margin from gas management, thanks to favorable prior hedging positions and a good performance of non-mainland. All of this partially offset by lower margin from short position management as a consequence of the sharp rise in pool prices in the period and nuclear margin decline following the increase of Enresa tax since July 2024 and the full impact of the 7% tax on generation. Likewise, good performance in customers, mainly thanks to the higher gas retail margin. Finally, the contribution from the renewable business decreased by 7%, mainly explained by lower wind and solar output and lower capture price, which offset the positive impact of higher hydro volumes. Moving to Slide 14 now. These dynamics are reflected in the free power margin, which, as expected, is normalizing compared to last year's levels. Integrated margin amounted to EUR 53/megawatt-hour with a stable power supply margin of EUR 18/megawatt-hour. The supply margin remained nearly flat, highlighting the success of our strategy based on customer value rather than volume, which has been able to offset the surge in ancillary services and peak costs following the blackout. Analyzing the gas business from an integrated approach, now on Slide 15. Strong improvement of gas margin driven by favorable previous hedging position and price resilience in the B2C segment. This solid performance is expected to normalize over the course of the year, in line with the target announced at the Capital Market Day last November. Moving now to the analysis below EBITDA. I'm on Slide 16. D&A slightly increased versus previous year, driven by higher amortization on the expansion of CapEx deployed over the last years. Financial results improved on the back of lower average gross debt in a context of lower interest rates. Finally, the effective tax rate stood at approximately 25%, no longer impacted by the nondeductibility of the 1.2% temporary energy tax that penalized last year's results. Overall, reported net income increased by a solid 30%. This improvement is clearly reflected in the net ordinary income to EBITDA conversion ratio, which reached 38% in the first half. Turning to the next slide. Cash generation remains strong with an FFO standing at EUR 2.4 billion, doubling the figure recorded in the same period of last year. This strong performance was mainly due to the robust EBITDA growth and the positive working capital contribution of around EUR 0.7 billion in the absence of the Qatar arbitration payment booked in the first quarter of 2024. On Slide 18 now, net financial debt came in at around EUR 10 billion with cash generated in the period more than covering the deployment of organic CapEx as well as the acquisition of the hydro assets. In addition, we paid the interim dividend in January and executed around 40% of the EUR 500 million share buyback program planned for the year. Gross financial debt remained stable, while its average cost declined to 3.4%. All these allow us to maintain strong credit metrics and a significant financial flexibility. And now let me hand over to Pepe for the closing remarks.
Jose Damian Bogas Galvez: Thank you, Marco. The solid delivery across all business areas during the first half reaffirms our confidence in achieving the top end of the full-year guidance. The consistency of our operational and financial results proves the resilience of our business model and the effectiveness of our execution in a complex and evolving energy landscape. We continue to enhance shareholder value through an attractive remuneration policy. The execution of our share buyback program is progressing as planned, reinforcing our commitment to capital discipline and long-term value creation for our investors. Together return. Looking ahead, our capital allocation strategy set to be detailed at the next Capital Market Day in the first quarter 2026 will remain disciplined and firmly focused on long-term value creation. The investment plan will depend on whether the remuneration for regulated activities proves fair and attractive. We remain fully committed to supporting decarbonization objectives while acting responsibly and in the best interest of our investors. Thank you for your attention, and let's now move to the Q&A session.
Operator: [Operator Instructions]
Mar Martinez: Okay. We start now with the first question that comes from Alberto Gandolfi from Goldman Sachs.
Alberto Gandolfi: My 3 questions. The first one is on demand. I think I wanted to congratulate you because you are the first utility to truly talk about an inflection point in power demand. And I have a 2-part question here. First of all, on Page 9, I wanted to ask you how much of those gigawatt is really demand? Or is it all demand, i.e., you exclude renewables or batteries, for instance? And how much within that is data center? And then the second part of this question is demand seems to be growing. But when do you think that the churn rate normalizes in Spain? Because you seem to have lost 350,000 customers just this year, so you can't immediately capitalize on rising power demand right now, at least in retail. The second question is, I think your stance on the regulatory proposal is crystal clear. Can I just ask a scenario? Perhaps it will improve. But you were talking about 7.5% in your assumption. What happens if it broadly stays here or there about, maybe a 20, 25 basis point improvement? Would that be sufficient to accelerate investments? And if not, what would you do? Should we expect a bigger buyback from Endesa in that scenario? And the last question, you reiterated full-year guidance, but consensus is already above the top end for net income. Any chance you can narrow down your guidance in the top half, the top end? Or can you tell us why you didn't narrow it down? And what are the key levers, the key drivers you are monitoring to tell us if consensus is too optimistic or reasonable?
Jose Damian Bogas Galvez: Okay. Thank you. Thank you, Alberto. And I will try to give you some color, and then, I will pass the question to Marco. About power demand, let me say that what we presented in the Slide #9 is the request of new demand that we have received during the last year. So that means that it is new demand, and this new demand include data center, include batteries, include many things that -- new things that are asking for being here in Spain just because of many, many things, mainly could be the very good price and also the low emissions that we have. With regard to the churn rate, well, we are really suffering, suffering this very high competition. Well -- but I don't want to elaborate more on that, but I should say that we are trying just to pass this very, very volatile period preserving our P&L in the supply margin. That is why we more or less maintain the results even in these circumstances. With regard to the 7.5% in our assumption in the distribution remuneration, well, you should take into account that we have a RAB of something EUR 11 billion, EUR 12 billion. So that means one point is something around EUR 100 million, which is very, very, very important for us. But it's more important than this, in my opinion, is that Spain has been doing very well, very well, and we have been very successful just in the transition. I think we are one of the leader -- Spain leaders in this energy transition. And then we are -- we have entry in the second phase, let me say, in which what is important for the future and -- to be successful in this energy transition is just to focus in demand and to focus on more renewables. Let me explain a little bit this, focus on demand because it is needed just to increase demand if you want to introduce more renewables. And second, well, if our objective is just to reach in the year -- by 2030, something higher than 80% in renewables, we need to increase this penetration. Just to do that, the key way to do that is the networks. It is clear that without this improvement in the resilience and without strengthening the network, it would be -- it will be impossible just to go ahead with this transition that we are doing, at least in my opinion, very well so far. So I really think that at the end, we will reach a position in which -- well, the remuneration, the framework -- the regulatory framework for the network will be fair for all. Let me say, sometimes austerity is something that really gives some sense in the regulation. But with this -- the austerity, let me say that, that we have in this proposal of regulation of the distribution, will give us to the free size. So I don't know if there is an English word in -- to say [Foreign Language]. [Foreign Language] or something like that. Well, I think if we want really to kill us, we will see this proposal. But really, I think that it would be absolutely impossible, and we will continue going ahead and doing well in this transition. So in my opinion, we will see at the end of the consultation a better framework. With regard to the guidance, let me say that -- well, IR convinced that we will give you good news at the end of the year. But we have been always conservative, so what we say now is that we will reach the upper end of the range that we have today in the guidance. And Marco?
Marco Palermo: Thank you, Alberto. And just to add a few things on what Pepe was saying. Regarding your first question, power demand, I mean, I don't know if I can answer exactly with the gigawatt there and numbers, but what I can tell you, if you go at Page 8, is when we look at our territory, that could be a proxy of the rest, even though there are differences between the different regions. Because depending on how much space they have in the grid, so how much demand they can connect. But if you look at that page, and if you look at the split between industry services and residential, you can explain the high increase in residential with the weather that was very hot. So at least a big part of this could be that. But then, when you come to industry, and particularly on services, that is exactly where you see data centers and in the services one, that increase, well, it's not related to weather, so -- and particularly, when we go and we open this into our regions, we do see that, for example, Aragon, where there was more space and you know there are projects there, has seen a 15% increase in demand. So I mean, we were thinking that -- and we always said, we always told everybody that we were seeing that increase in demand, but at the end of the year -- at the end of the plan, sorry, 2027, and there. It looks like it is coming much earlier than we thought, basically. So this was on your first question. On the regulatory stance, basically, Pepe answered. I mean, here is more than a matter of WACC. It's a matter of the current TOTEX scheme, so that is kind of in contrast with the PNIEC. So we have to understand whether the wheel of the regulator is for a development of the grid or whether the wheel of the regulator is for maintenance of what we have that, that makes really the difference. And on consensus, I mean, we have experienced the worst quarter ever, our horribilis quarter. Why so? Because post blackout, we have experienced this sharp increase in ancillary services. And you know that we are particularly exposed because we are very, very long on clients because we are the biggest there. But our production, it's not exactly covering all our need. And particularly, when it comes to some of our power plants, they were not all fully somehow available for the ancillary services just to provide that. So basically, I mean, we are a net loser there. And this huge spike in these few months -- in these few -- last months, particularly in May that we showed on Page 6, has hit us a lot. Despite this, and even though we are somehow assessing that there is -- there will continue to be this impact also for the rest of the year, we are moving to the high end of the guidance. So -- I mean, I don't know if I'm answering you, but you know that we are particularly conservative. And despite all this, we are moving to the upper end of the guidance.
Operator: Next question comes from Peter Bisztyga from Bank of America.
Peter Andrew Bisztyga: Two questions from me, please. Firstly, could you just sort of clarify whether, in fact, you would cut your investment in distribution if the regulatory framework remained as is? Because you increased it at your last sort of Strategy Day with the messaging that you're sort of optimistic that things would get better. So if they don't, does it go back down to where it was before? And then my second question is, is there any movement at all from the government yet on timing of the capacity market? Is there any indication when you might get a draft mechanism, whether auctions could still happen before the end of this year, particularly in light of the blackout?
Jose Damian Bogas Galvez: Okay. Thank you, Peter. I would say that we don't consider the reduction in investment because, as I have said, we think -- or we are confident at least that the final version after the consultation process of the CNMC and with the intervention of the ministry will provide the necessary economic signal to address the challenges of the energy policy in Spain. There is no way just to do that. But in any case, Marco, if you want to give him some range? I think Marco is trying just to look for -- if there is any figure. I don't know, Marco, you...
Marco Palermo: Peter, just to answer on your question #2, that is on capacity, yes, I guess that the government expects to have the first auction by year- end this year. So things are moving fast. Let's see whether they can reach this challenging target. But yes, there is -- things are moving there.
Operator: Next question comes from Manuel Palomo from BNP.
Manuel Gonzalez Palomo: I'd like to ask you about the electricity margins. This integrated margin was around EUR 52 in full year '23; EUR 54 -- EUR 55, sorry, in '24. And now in the first half '25, we've seen it down to levels of EUR 53. However, what you project for the year '27? If I'm not wrong, it's EUR 56. So I wonder whether you could explain us how you plan to achieve it, considering that it looks like the competition is being a bit more aggressive. Hydro is likely to normalize from exceptionals '24 and '25. And if I'm correct, you are projecting maybe lower renewable installations than initially. The second question is about the loss in customers and how it links to the guidance because you're talking about top end of the guidance, but you've lost, as Alberto was mentioning, 350,000 clients year-to-date. So my question is, what is happening? Is -- are you -- were you expecting already this loss of electricity customers? And my last -- well -- and also, it would be great to know where you think these customers are going into, whether it's going to, I don't know, large utilities or companies or smaller suppliers. And lastly, I wanted to ask you, which is, I guess, recurring one, about the nuclear, the pre-agreed schedule, and what is your most recent expectation about the nuclear shutdown?
Jose Damian Bogas Galvez: Okay, Manuel, I'm going just to answer the third question, and then, Marco will answer the rest of the questions. Nuclear, well, the first thing that I would like to say is the important role of nuclear energy, and this is something -- an important role in decarbonization is absolutely undisputed, I would say, and recognized for all and also recognized for the Energy Commission. Nuclear provide clean, stable, et cetera, et cetera, energy. In that sense, well, it is clear the strategy of all the countries, member states in Europe, which is a little bit different or very different to the ones that we have in Spain. Nevertheless, what we -- and I think it is something that I could say. Iberdrola and ourselves, we submitted a proposal to the ministry to, I would say, postpone 3 years the shutdown of nuclear power plants. Why? Yes, because technical reason of both the system, I would say, the delay in the flexibility elements necessary for the system and also the nuclear plants themselves, the delay in the availability of temporary intermediate storage of Spain fuel. When we have asked for this, we have indicated that it would be necessary to reduce taxes and tools. Well, because the current full cost, as I have explained many times of nuclear, it's something around EUR 65 per megawatt-hour. With taxes and tools accounting for more than 25%, that is something around EUR 17 per megawatt-hour, not including the new Enresa tax in this figure. At a full cost of EUR 65 per megawatt-hour, and forward price in 2030, something around EUR 55 per megawatt-hour is not possible to postpone the shutdown. We need a minimum reduction of EUR 10 per megawatt-hour. And our proposal includes this elimination or the elimination of some local taxes and charges. When we propose that, and really, as I tried to explain this just because technical reasons, the ministry responded us by establishing, let's say, the minimum condition that will be or would be that this change in the shutdown does not result in higher cash for the citizens, that this contribute to the security of electricity supply and also the nuclear safety should be guaranteed. Yes. I think all the owners, not only Iberdrola and Endesa, but all the owners of the nuclear power plants, we are in a position to comply with this requirement established by the ministry. So I hope that we will have a meeting soon to discuss this situation. And in my opinion, this nuclear postponed shutdown, the more probably things that happened -- that occurred, but we will see, that we will see. The energy policy is marked by the Government of Spain, and we will follow this energy policy in any case. But we are discussing technical problems now, and we will see what will happen.
Marco Palermo: Manuel, thank you for your questions. So question number one, on free power margin, EUR 53, yes, this is what we have for this first semester, and it is also what we expect to have for year-end. You're right, our business plan was seeing a slight improvement of this number, actually was almost EUR 1 for each year -- an increase of EUR 1 for each year. Now how is it possible? Well, I guess that the answer is exactly in the EUR 53 number that we have right now today. Why so? Because if we were able to keep this EUR 53 despite this horrible quarter and this skyrocketing ancillary services cost, this probably means that in a more normal situation, we would probably do better than that. By the way, the fact that this is -- we define this as a horrible quarter, it's also because -- I mean, as I said, we were not exactly expecting this increase in demand to start to happen now. We were thinking this happening later on, so next year, 2027. So what we were doing was somehow preparing all our fleet just to be ready to give those kind of services, so particularly, when it comes to repowering of pumping, for example, or even improvement in our CCGTs. So this increase right now, actually, the blackout that caused this increase caught us a bit by surprise. So on one hand, we cannot -- we couldn't take profit -- full profit from our fleet when it comes to grab the extra marginality of these services. And on the other hand, we didn't have the time just to somehow pass through this cost on our portfolio. So I mean -- and despite this, we are basically there. So I guess that this probably answers your question. On question number two, on customers, where we expecting this little customer? Of course, yes. I mean, the problem right now on the Spanish market is that there are, as we told, very different behaviors depending on the cluster of clients. There are many clients that really switch with very high frequency. Now, the problem with these clients is that you pay a fee just to get those, and then, you end up paying it again when you try to regain them back because they tend to move a lot. So on these clients, I mean, you end up making a lot of investments that is difficult just to get back. Now, you were asking where are they going? Well, it's difficult to answer this question because actually, we can make inquiry and somehow try to guess a bit. But it looks like this is not now competition between the -- I would say, the big players, it's more of newcomers. Not always there are fair behaviors now in the market. I guess that whoever lives in Spain knows what I'm talking about because I've probably been receiving calls by people faking to be one company, and then, moving you to another company. So I mean, we think this is somehow moving part of the clients that do not trust the phone. So now they want to get back to physical premises. So I mean, we are trying to adapt, and this will take a bit of time. But -- I mean, this was expected. I guess that will somehow normalize by year-end. And again, I guess that this is not a matter of size here. It's a matter of marginality and profitability. The high switchers, the very high switchers, I mean, really, I'm not sure it makes a lot of sense just to keep it in the portfolio.
Operator: We move now to the next analyst, Pedro Alves from CaixaBank.
Pedro António Alves: The first one is a follow-up on your comments that you could revisit your investment plan once you know the final proposal from the regulator for remuneration of grids. So should we understand that you are very unlikely to announce any further buyback program still this year? So any final decision would be announced only next year with the Capital Markets Day? And the second question is, if you can elaborate a bit on the weaker contribution from renewables in this quarter? I was a bit surprised to see this lower contribution despite volumes being higher year-on-year. So eventually, if you can also elaborate on the hedged prices for this year and how do they compare to last year? Eventually, this should be obviously read in an integrated manner because on the other hand, I was also surprised to see supply margins flattish year-on-year despite the costs with the ancillary services.
Marco Palermo: Pedro, thanks for your question. Regarding the investment plan and the share buyback, no, this doesn't mean that you have to wait next year for development on the share buyback. Actually, quite the opposite, in the sense that, the current share buyback program, it's public opinion -- it's public data now, has been completed at around 75%. So I mean, of the EUR 500 million, we are approximately in the EUR 380 million. And it looks like the algorithm is -- with these prices is going very fast and is building amounts. I remind you that we have approved EUR 2 billion. So actually, if you ask me, probably at this level of price, it makes a lot of sense to follow on with that -- I mean, despite of the rest. And regarding the question number two of the weaker contribution of renewables, actually, on one side, we had an improvement in volumes deriving basically from the incorporation of the former Acciona assets in the hydro. Of course, there was not a full contribution for the semester because we just get them back. And yes, we are -- on hydro, we have our storage, I would say. We have our water -- I mean, plenty of water and recovered basically a normal situation there when we look at the previous year. But when we move to other technologies, in particular, on the wind, there's been less wind, and also, in the production of the solar, also there, we had a lower contribution. You were asking on the supplies, and correctly, how do you stick there basically with this? And it has to -- I mean, it has to be read with the price that basically the supply receives. Actually, there is seasonality in the price that the supply receives. So particularly, in the second quarter is where generally prices tend to be lower. It has been much the case also last year, and that's where they stick and they keep the supply margin. Now, the problem this year is that they were lower when compared to the rest of the average of the year, but much higher than the quarter of last year. So I mean, there, that's also when -- where we suffered on the short position because basically, there was no -- basically, no marginality to grab. And this was another reason why, I mean, for us, this quarter has been like the kind of horrible quarter also on that point of view.
Operator: We have now Jenny Ping from Citi.
Jenny Ping: Many of my questions have already been answered. Just one, please, on the network side. So when you look at the current package as being given, and I understand there's still negotiations ongoing, but if you look at what's being given in terms of the incentive element of it, what do you think is the additional basis points that's up for grabs on top of the 6.5% returns just assuming the current package remains status quo? Just want to understand what upside there is above and beyond the 6.5%.
Jose Damian Bogas Galvez: Okay. Thank you. Let me give my personal opinion in this. First of all, there are 2 different things, one is the rate of return and the other is the methodology. We have to improve the methodology, I think, and we will give some -- improve in that sense in the remuneration of the investment. But in the other side, talking specifically about the remuneration tax, I would say that there are 3 elements that could be improved. What we are expecting is something between 7% and 7.7% if we are right in our comments to the CNMC. So we expect just to really improve this remuneration rate, something minimum of 0.5 point just to reach 7%.
Operator: Next analyst is Jorge Guimarães from JB Capital.
Jorge Guimarães: I have just 2. The first is a follow-up on the question on the remuneration in case networks are not as high as you are looking for. What could be the potential for higher shareholder remuneration? Could you put the company the 2.5x net debt to EBITDA reference? And the second one is related with this. Is there any connection between the conversations with the government about nuclear and about networks? I mean, is it negotiated together? Is it some tit for tat, meaning you give up on some on one side and get on the other? Or is it nothing to do one with each other?
Jose Damian Bogas Galvez: Okay. Jorge, let me try to explain our view of the nuclear negotiation. Well, as I have said, it is not a negotiation, let me say that. I should be very clear here. The Government of Spain is the one that established the energy policy. And that is something that we could try just to give our opinion about the importance of the nuclear power plants in -- really in the transition, in the decarbonization, et cetera, et cetera, but that this is not the case today. As I have said, what we are trying just to discuss or to really try to clarify with the ministry is technical reasons that should recommend us just to postpone the shutdown, as I have said. So well, we will see. We don't want to change the energy policy because this is a responsibility of the government, and we will follow this responsibility in any case. We try to clarify some details, let's say, that. And in that case, I should say that all the owners of the nuclear power plants, we are aligned and in the position really to comply with the requirements established by the ministry as to do that. So we will be. We will have some meetings, I suppose, to clarify this point, and then, we will see. Marco?
Marco Palermo: Jorge, so on your question number one, first of all, just to repeat it here and get, but I mean, we really do not want to believe and do not believe that the regulator can actually reject the PNIEC in the national plan. So I mean, there -- I mean, we do not want to believe, and we do not believe, that this will be the situation. So a situation where there -- no additional investments will be required on the grids. I mean, this will be apart from contrary to the PNIEC, also contrary to all what is happening in the rest of Europe and the European somehow directions. Having said that, on -- what it is clear is that we are now given the strong cash despite investment, but given the strong cash generation, we are at 1.8x net debt to EBITDA. That is not the ratio where we should stand. So -- I mean, as we told always, I mean, this is not the ratio we should stand at. And I mean, we will take our decision when it is clear what we can -- what we have -- what option we have in front of us in terms of CapEx, and then, correcting the rest of the policies accordingly in order to reach a fair net debt-to-EBITDA ratio, so a fair use of the debt.
Operator: We will move now to Javier Suarez from Mediobanca.
Javier Suarez Hernandez: I have 3. Most of them are follow-ups. The first one is on the blackout. The question is that does the company see the necessity to provision any amount to cover against the possible claims coming from either corporate or individuals affected by the blackout? And if so, which would be the decision -- the timing for that decisions and the implications for Endesa? Then the second question is on the regulation. It's just a clarification. You mentioned that remuneration has to be between 7% to 7.5%. The question is that, is there a very clear cut, i.e., remuneration is below 7%, Endesa is not going to be based on electricity network? And a related question is, you mentioned on the presentation the possibility of some improvement in incentive and the -- arguing that there is some room for improvement. Could you elaborate on where do you see the capacity to introduce incentive that would better justify investments on the electricity distribution network for a company like Endesa? And then the third question is on the claim on the LNG contract dispute. You are mentioning on your quarterly number that you're not expecting this arbitration to be concluded until last quarter of 2026. Can you update us on the status of this legal dispute and the implication from -- of a court ruling against Endesa by the end of 2026?
Jose Damian Bogas Galvez: I will answer the second one, and then, Marco will answer you the provision of the blackout and the LNG arbitrations. Well, we always have said that to have a clear view what we have in our strategic plan is a blended remuneration of 7.5%. Well, today, we have 6.5% rounding numbers. And we expect an increase at least of 0.5 point just to reach 7% and could be if they take into account the cost of the external resources and also the beta, et cetera. We could reach something around 7.7%. But that is our proposal, our proposal that we have sent to the CMC in the consultation period in which we are now. But again, could be many incentives that better justify the investment in the future. Today, what we have is a framework in which the most reasonable thing is to be conservative and only invest just to maintain the RAF without any increase. I think that this is not a reasonable position. Let me say that, well, the European Commission has launched the guidelines on anticipatory grid investment. What they have said in this guideline that I think that will be part of the action plan for affordable resilience and competitive energy that we will see in this year. If you read that, there are many things, very good things in this moment for the need to remove investment caps on the grid. Second to the elimination of delays in investment recognition. The third is the approval rules, very clear approval rules of the investment. And then what we are seeing is that the European Commission are trying just to give some clues to the national authorities to adopt, I would say, forward-looking approach, planning for future energy needs rather than reacting to current demand. And I think that the methodology that we have in Spain, the proposal, is something that really react to the current demand, but don't look forward trying to anticipate, which is needed now. And also, the scale of the investment, if you see this document of the European Commission about the electricity grid by the year 2040 and the investment needed at the level of the European Union in the central scenario, they are talking about EUR 79 billion to EUR 96 billion per year annually. If Spain is something around 10%, that means that it would be necessary something between EUR 8 billion to EUR 9 billion per year in Spain. That compare with the 5.2% that we have in the PNIEC and compare with the, let's say, signal launched by the CNMC that what really give us is try to be conservative and try to react to the current demand instead of looking forward for the new demand. So having said that, what I say is that there are many incentives to introduce in the regulation to better justify this. As I have said, I'm confident that the final version -- because otherwise is what I have said, the [Foreign Language], well, we are -- as a country, we are doing very well in this, and it has no sense just to stop and fail in them when we need this investment.
Marco Palermo: Javier, so getting to your first question regarding the blackout and eventual provision, I mean, we all know that another utilities are the one in charge of the stability and the voltage control of the electrical system. And if you put on top of it that we were fully compliant with the system operator instruction and all our plants were operating in full accordance with the TSO technical restriction and also trips were made above the established safety protocols, technical limits, I mean, there is no reason, no way we can provision something there. Going to question number three, that was the one regarding the LNG arbitration, yes, there is in our results -- in the first semester results, there is an indication that there is an arbitration open and that the arbitration is open for $240 million. So now, of course, I mean, for confidentiality reasons, I cannot detail on what are the reasons for this arbitration and not even what we think and not even what our defense will be. But what I tell you is that I'm paid to be always concerned and not very much concerned actually about this arbitration. So I think that's all I can say.
Operator: We have now Arturo Murua from Jefferies.
Arturo Murua Daza: I have just one. Most of them, others have been already answered. It's regarding to the anti-blackout decree, which was rejected last week in the Spanish Parliament. Does this have any effect to your growth demand forecast?
Jose Damian Bogas Galvez: Okay. Thank you, Arturo. Well, I will try to clarify a little this, but let me say the short answer is nothing, no impact in our result that is. Having said that, just to give some color to this, well, I think that most of the measures included in the Royal Decree were positive for the development of the electricity sector. But the important thing, in my opinion, is what has happened now. You know that based on this Royal Decree law during the period, it was in execution up to when the royal decree was stopped, let's say that. Well, the Government of Spain approved an exceptional amendment to the transmission plan, the 2021-2026 transmission plan, just to increase investment of about EUR 750 million and also give some subsidies around more than EUR 900 million to really go ahead with some project trying to incorporate additional tools for both its control that is the root cause of the blackout and to improve the system stability against oscillation, the oscillation observed prior to the blackout. This is the important thing. Then the other things -- so on the other side, I would say that it will be very important, the result of the distribution remuneration framework that we are waiting for. But having said that, then the other measures, more responsibility for the CNMC, some improvement in the TSO, the creation of the independent demand, let's say, aggregator, the reduction in the tools for electro-intensive consumer, et cetera, et cetera. First of all, don't impact our P&L. Second, they are important measures, but the important ones are the ones that have been launched and should be launched with the distribution.
Operator: Next question comes from Rob Pulleyn from Morgan Stanley.
Robert John Pulleyn: Frankly, most have been answered. Just a couple of very nitty-gritty modeling questions. First of all, the first half finance costs are a shade under EUR 200 million. Just checking, is that a good run rate for the year, i.e., about EUR 400 million for the full year? And secondly, we've talked a lot about ancillary costs being higher. Would you be willing to quantify quite how much that impacts EBITDA? I think it's quite encouraging that with such an unexpected headwind, you're still on track for guidance, and just like to quantify the impact.
Marco Palermo: Rob, thank you for your questions. So regarding financial costs, yes, you're right, EUR 200 million in this quarter. So you should expect something similar also for the end of the year. Let's see how much. I mean, particularly given that we're hoping just to, I would say, have measure basically to increase a bit the debt, but the cash generation has been strong. So I mean, that's why we are so confident in somehow uplifting the -- moving the guidelines to the high range of the guidelines despite what happened in this quarter. And I guess the second question, if I understood correctly, was related to the ancillary services impact. And there, I guess, that we can quantify it in the first quarter around -- I mean, the impact without taking into consideration the recovery on the generation side is that is probably comparable to some of the numbers that you have been hearing from competitors, is around EUR 150 million for the semester. That could be probably not then the double for the full year because we somehow are seeing some lowering there. As much the prices are higher, the less generally -- the lower are the ancillary services because when the system calls to produce on economic merit, the CCGTs, you then have an effect that the CCGT is producing, so it's giving somehow the services, and there is less cost in calling the -- somehow the non-economical power plant. So when we look at this data and we see it as probably a net when considering the -- also a generation component, I would say that for us, the impact this year should be something around EUR 150 million, I guess, on the full year net of all the other components. Thank you.
Operator: And now we have Fernando Garcia from RBC.
Fernando Garcia: [Technical Difficulty]
Mar Martinez: Fernando, I'm sorry, but the sound has been very distorted. It has been impossible to follow you. If you allow me, I will contact you after the conference call, okay? So this was the last question from the call, and I have just received one question from the e-mail, from the web that I guess that is for you, Marco. It's regarding the unitary gas margin reached in the first half. And the question is, if we were considering to upgrade the expectation for this year and beyond.
Marco Palermo: Well, here, the short answer, I mean, we were seeing a unitary margin around EUR 10/megawatt-hour. I guess that what we expect for the end of the year is approximately EUR 9/megawatt-hour. This means approximately a contribution of EUR 700 million on the gas side. So I mean, that is the answer, I would say. Thank you.
Mar Martinez: Sorry, I forgot to mention that the question comes from Philippe Ourpatian from ODDO, okay? So now we are done. We have tackled all the questions received so far. And just to thank you for your participation. And yes, and to wish you a nice summer break. See you in September.